Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Parker-Hannifin Fiscal 2021 Third Quarter Earnings Conference Call and Presentation. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] The opening speaker for today's call is Parker's Chief Financial Officer, Mr. Todd Leombruno. Please go ahead, sir.
Todd Leombruno: Thank you, Elaine. And, good morning everyone. Thanks for joining our FY'21 Q3 Earnings Release Webcast. As Elaine said, this is Todd Leombruno, Chief Financial Officer speaking. Here with me today are Chairman and Chief Executive Officer, Tom Williams; and President and Chief Operating Officer, Lee Banks. On Slide two, you will find the company's Safe Harbor disclosure statement addressing forward-looking statements as well as non-GAAP financial measures. Reconciliations for all non-GAAP measures are included in today's materials. These reconciliations and our presentation are accessible under the Investors Section at parker.com and will remain available for one year. We'll start the call today with Tom providing some quarter highlights and some strategic commentary, and I will provide a summary of the quarter, financial results and review the increased guidance that we announced this morning. Tom will then close with key messages and then Tom, Lee and I will take any questions that the Group may have. With that, I'll direct you to Slide three, and I'll hand it off to Tom.
Tom Williams: Thank you, Todd. And good morning everybody. Before I jump into Slide three in the quarter, I want to say thank you to all the Parker team members around the world for an outstanding quarter. It's really more than just this quarter, it's really been the whole year and the performance to the pandemic, and also the transformation of the company into a top quartile to pursue of company. These results are all because of your efforts. So, let's look at the quarter on top of Slide three. Starting with Safety as we always do, had a 33% reduction in recordable incidents, we're still in the top quartile, the combination of safety, lean our high-performance team structure in Kaizen, all driving high engagement and high performance, you see that show up in our results. Sales grow grew about 1%, the organic decline was minus 1, but in particular, if you take out Aerospace and look at the industrial only, industrial segment grew organically, almost 4% that was significant. We had word [ph] records. You can see that net income EPS in the segment for Parker North American International EBITDA margin was very strong at 21.6 as reported 21.8 adjusted a huge increase versus prior 250 basis points. Year-to-date cash flow was an all-time record of 1.9 billion and 18 for a little over 18% of sales. If you go to the very last row of this page, you see segment operating margin on an adjusted basis 21.4%. Again, a significant improvement versus prior plus 240 basis points. So, a terrific quarter and really tough conditions. So if you go to the next slide, I want to talk about the transformation of the company, the old adage that a picture is worth a thousand words. And, so I want to take you to Slide five, and this is really the picture that speaks to the transformation of the company. Let me explain the chart here for a minute. So you've got in gold bars the adjusted EPS, the blue line is global PMI plotted on a quarterly basis. If you look at the last six years and look at that dotted green line and compare that with the blue global PMI line, you see they are much less correlated, in fact they are diverging and there's been a step change in performance of the EPS over this time period, is more than doubled from $7 to our guidance of $14.80, so approaching $15 and was propelled it over the time period an EBITDA margin that's grown 600 basis points. So you might ask how that happened, that's really that blue take away in the bottom of the page, it's our people, that focus, the alignment, the engagement that comes when you have people thinking like an owner, the portfolio, which is a combination of our interconnected technologies and the value they bring and the capital deployment we've done buying some great companies that have added to the strength of the company. Then our performance, which really sits with the strategy of the company, 132.0 come at the beginning of this journey, strategy 3.0 most recently in FY '20. So this combination has really transformed the company you see that as a business slide and we're very proud of it. But if you go to slide six, so that's what's kind of in the rearview mirror but going forward, we're equally excited about where the company is going to go and I've called this a convergence of positive inflection point, so in the left-hand side it is kind of those external inflection points, you're familiar with a lot of these - macro environment momentum, you see that in our positive orders and positive organic growth industrial, we showed in this quarter. Aerospace is going to recover, question is just what the trajectory will be in the timing, vaccines to make a progress around the world. There's going to be a significant amount of climate investment. If you put all that on top of, right all these down but low interest rates pent-up CapEx demand of fiscal spending, you have a very attractive environment for industrials for the next several years. On the right-hand side, it is really the internal things we've been doing when it shows 3.0 particular, but at the last line, I just went through spoke to all those internal actions because that's what's been propelling us. Remember that last period - last six years really had very little help from a macro standpoint. So, if you look at the three major things, I highlighted here performance becoming top quartile, strategies to grow fast in the market you've seen our margin expansion, great cash flow generation consistently over the cycle, portfolio, we've added three great companies are accretive on growth cash margins, and with the rapid debt pay down that we've done, we're positioned to do future capital deployment, which is very exciting. The technology will get into in the next Slide, but the interconnected technology is really distinctive for us. And then with a climate investment, we are very well positioned with our suite of clean technology to take advantage of that. So, I would tell you that my view and the team's view, this is about as good an environment as we've seen in a number of years. Go to Slide seven, you've heard me talk about this page, the power of this interconnection of the technology brings that value accretive for customers, what I want to do today in light of the Clean Technology discussion is give you forward samples and how this suite of technologies helps with - were clean environment clean technology world. So, the first would be electrification and we've got a full portfolio technologies here hydraulic, electro hydraulic, electromechanical low competitors got that breadth of technologies and we formed about four years ago the Motion Technology Center, which put the best and brightest of engineers doing Motion Technologies and things of Slide as well as things with wheels underneath even so we put the motion and the aerospace teams together and this team has come up with a great listing of products around motors and burners and controllers, but there's also in addition to the typical motion opportunities, there's other challenges of our electrification like light weighting, thermal management, shielding, structural adhesives, noise vibration all of these to the combination we have a legacy Engineered Materials and with LORD acquisition, we're well positioned to take advantage of those. Secondary is batteries and fuel cells that utilize most of technology see on this page. Thirdly, clean power sources and that kind of falls into two word [ph] renewables, which we do a lot and always have done a lot of wind and solar. Then the hydrogen, we just recently joined the Hydrogen Council and it's going to be both on board as well as infrastructure opportunities as you go up for the next many years and it's really building in our high pressure in our cryogenic applications that we have today. And then we've been and more sustainable company for a long time - the clean technology example for us, that started a lot of things is filtration and our filtration business protection purifies assets and equipment for people for more sustainable environments. So we feel very good about this portfolio is more climate investment in the future. Going to Slide eight, just want to remind you of our purpose statement enabling engineering breakthroughs that lead to a better tomorrow. It's been very inspirational for our team, and I think it comes more into light, when we give you examples of the purpose and action, which is on Slide nine. And again, kind of following with a clean technology discussion when I'd highlight electrification, I'm going to highlight in particular electric vehicles. On the left-hand side, you see applications that have changed because of an AGV an EV versus a combustion engine. On the right-hand side, you see the various technologies of Parker has that addresses those applications, I won't read all those [indiscernible] major categories safety related technologies, things would say wait thermal management variety of things we do for critical protection. The big opportunity for us, we will obviously are in the fact is helping to make these vehicles, and we'll always do that, but the big opportunity for us is the word [ph] content around engineered materials. Our build material for an EV or an HEV is Ten-X what it was on a combustion engine and it's one of the key reasons why our LORD business has grown so nicely even despite the pandemic, we grew 11% organically in Q3 for Board. So we're very happy with the progress so far. And our purpose and action around electrification as an example. So with that, I'll turn it over to Todd for more details on the quarter.
Todd Leombruno: Okay. Thanks, Tom. I'll just word [ph] everyone to Slide 11 and I'll do a quick review of the financial results for the quarter. Tom mentioned some of these. So I'll try to move quickly. Sales for the quarter were $3.746 billion that is an increase of 1.2% versus prior year. We are proud of the fact that the diversified industrial segment did turn positive organically. Industrial segment organic growth was 3.7, obviously that was offset by the Aerospace, Systems segment there organic decline was 19.7%. So, all in that drove total organic sales to minus 1.0. Currency was a favorable impact this quarter of 2.2%. And just a note in respect to acquisition, this is the first full quarter that we report both LORD and Exotic in our organic growth numbers. So therefore the acquisition impact was zero. Moving to segment operating margins, you saw the number 21.4%. That's an improvement of 240 basis points from prior year. It's also an improvement of 130 basis points sequentially. Strong margin performance there. And that really was the result of just broad-based execution of the Win Strategy. We continue to manage our cost in a disciplined manner. The portfolio additions in core for LORD and Exotic are all performing soundly and you've all been familiar with the restructuring activities that we've done in FY '20 and in FY '21 those are on track and unplanned and generating the savings that we expected. Adjusted EBITDA margins did expand 250 basis points from prior year finished the quarter at 21.8% and net income is $540 million, which is a 14.4%, ROF that's increased by 22% from prior year. Adjusted EPS was $4.11, that is a $0.72 or 21% increase compared to prior year's results of $3.39. And as Tom said, it's just really outstanding performance, and I'd also to like to commend our global team members for generating these results. If you Slide to Slide 12, this was really a bridge of that $0.72 increase in adjusted EPS versus prior year and the story here across the board is the strong execution from all of our businesses. This produced robust incrementals in our diversified industrial segment and really commendable decrementals in the Aerospace Systems segment. Adjusted segment operating income did increased by $98 million or 14% versus prior year. That equates to $0.58 of EPS and really is the primary driver of the increase in our adjusted EPS number. Interest expense was favorable to prior by $0.12 as we posted yet another quarter of sizable repayment of our serviceable debt and that is really benefiting from our strong cash flow generation. Other expense, income tax and shares netted to a $0.02 favorable impact compared to prior year. Moving to Slide 13, this is just an update on our discretionary and permanent cost out actions, and this is just a reminder, these represent both savings recognized in the current fiscal year from our discretionary actions in response to the pandemic and our permanent realignment actions that were taken at the end of FY '20 and throughout FY '21. Discretionary savings came in exactly as we guided at $25 million for Q3 and now totaled $215 million year-to-date, there is no change to our discretionary savings forecast for Q4, that remains $10 million and we continue to forecast the total year to be $225 million in full-year savings. Just to note with the increased demand levels that we're seeing from our positive order entry, our teams have really pivoted to grow and really now these discretionary actions that we knew would diminish across the calendar year have now really been based in reduced travel expenses. If you move to permanent savings, we realized $65 million in Q3, our total year-to-date is $190 million, the full-year forecast again here remains as previously communicated at $250 million, one item to note, we did guide that the cost of the FY '21 restructuring would come in around $60 million, it's now expected to be $10 million less or $50 million but there is no change to the expected savings that we are forecasting. Total incremental impact for the year from both permanent and discretionary savings is $260 million. And just one other thing to note this will probably be the last quarter that we detail these items as we anniversary, the pandemic induced volume declines and really focus our attention on growth. So the takeaway is savings are on track, no changes other than the expense to be a little bit less. If you go to Slide 14, this is just highlighting some items from our segment performance for the third quarter in our diversified North America business, sales were $1.76 billion that is an improvement in organic sales sequentially from Q2, it still is down 1.2% from prior year, but if you look at the adjusted operating margins, we did increase those operating margins by 190 basis points versus prior year and reached 21.9% for the quarter. We were able to increase these margins despite that sales decline due to our disciplined cost management, those portfolio improvements we've talked about and really margins in this segment are at a record level. If you Slide over to order rates, another positive here, they improved significantly from plus one last quarter and they are now, ending the quarter at plus 11. Looking at the Diversified Industrial International sales, robust organic growth here of 11.1%, total sales came in at 1.39 billion and another great story here adjusted operating margins expanded substantially and reached 21.6%, an improvement of 400 basis points versus prior year, clearly the double-digit organic growth coupled with the cost containment and the effort from our global team really generated this level of record margin performance as well. And again, another plus here is order rates accelerated in this segment and are now plus 14% for the quarter. If you look at Aerospace Systems, they continue to really perform soundly in the current environment, sales were 599 million for the quarter, organic sales showed a slight sequential improvement from Q2, but are still down basically 20% from prior year. Commercial end markets are still under pressure. However, there is a strength in our military end markets. What's nice here is operating margins were 19.4%, 30 basis points better than prior year despite that 20% decline in volume and if you look at our fiscal year, that performance of 19.4% is the highest they've done all year. So we're really proud about that. Decremental margins are also impressive here in this segment this quarter there 18% decremental margins. Order rates appear to a bottom and finished at minus 19 for this quarter. And just a reminder that is on a rolling 12-month basis. So, overall we're pleased about a number of things this quarter that Diversified Industrial segment organic growth of 3.7 as a positive total segment margins improved 240 basis points from prior year and at record levels, orders have turned positive in plus 6 and our team is really continuing to leverage the Win Strategy to drive significant improvements in our business and increased productivity and generate strong cash flow. So with that, I'll ask you to go to Slide 15, just to give some details on our cash flow year-to-date cash flow from operations is now $1.9 billion that's 18.1% of sales, that's up 45% from prior year and it is a year-to-date record. Improved net income margin as we've talked about before is really a key driver in this it's created a step change in our cash flow generation. But I also like to commend our team members intense focus on our working capital metrics. Each of our working capital metrics is improving and showing positive results and I'm really proud about that. Moving to free cash flow at 16.8% of sales that's an increase of 630 basis points over prior year and our free cash flow conversion is now 141%, which compares to 122% in the prior year. So, great cash flow generation there. Moving to Slide 16, I just want to mention some things we've done on our capital deployment, we did pay down $426 million of debt this quarter that brings our total debt reduction to a little over $3.2 billion in the last 17 months since the LORD acquisition closed. This reduced our gross debt to EBITDA to 2.4 it was 3.8 in the prior year and net debt to EBITDA is now 2.2. And that's down from 3.5% in the prior year. Looking at dividends last week, you saw our Board of Directors approved a quarterly dividend increase of $0.15 or 17%. This raises our quarterly dividend from $0.88 to $1.3 per share and extended our record of increasing the annual dividends paid per share to 65 consecutive years. And finally, as we mentioned at the Q2 earnings release, we've reinstated our 10b5 program and repurchased $50 million of shares in the quarter. All right. So if you go to Slide 17, I'll just provide some color to the increase in guidance that we gave this morning really the strong year-to-date performance and these order trends have positioned us to increase our full year outlook for sales to a year-over-year increase of 4.5% at the midpoint and the breakdown of that sales change is this organic sales are now expected to be flat year-over-year. Acquisitions will add 3% and the full year currency impact is expected to be 1.5%. We've calculated the impact of currency to spot rates as of the quarter ended March 31 and we held those rates constant to estimate the Q4 '21 impact. Moving to segment operating margins, our guidance for the full year is raised to 20.8% and that would equate to an increase of 190 basis points versus prior year. And just some additional color some things to note corporate G&A interest and other is expected to be $381 million on an as reported basis and a $479 million on an adjusted basis, the main difference between those two numbers is that $101 million pre-tax or $76 million after-tax gain on real estate that we recognized and adjusted in the other income line in Q2. That's the main item. If you look at our tax rates down just a little bit. We're now expecting the full year tax rate to be 22.5% and moving to EPS on a full year basis, our as-reported EPS guidance range is increased from 12.96 to 13.26 that's $13.11 at the midpoint. And then on an adjusted basis, we're increasing the range from 14.65 to 14.95 that's 14.80% at the midpoint. For Q4, adjusted EPS was projected to be $4.18 per share, that excludes $0.54 or $93 million of acquisition related amortization expense, the finishing of our business reliant expenses and integration costs. If you look at Slide 18, this is just a bridge of our increase to our adjusted EPS guidance. Now, these results that we just reviewed, you can see the outperformance that we had in Q3 that increases our previous guide by $0.57, the order strength that we just reviewed and really the exceptional operation and execution by our teams have allowed us to increase Q4 guide by an additional $0.33 and that is exclusively based on increase segment operating income. This raises our full year EPS guide by about 6.5% from prior guide. And with that, I'll turn it over to Tom for some summary comments and ask you to move to Slide 19.
Tom Williams: Thanks, Todd. So we've got a highly engaged team. You see that this was driving our results. The ownership culture that we're building, record performance in difficult times, these numbers are historical all-time highs for us and not the best of times. The convergence of positive inflection points we feel points very bright future and the cash generation and deployment as evidenced by the rapid debt pay down acquisition performance and our dividend increase, which I would just highlight the first time we've been over $1 at $1.3 on a quarterly dividend, which we're very proud. So the Win Strategy 3.0 and our Purpose Statement is well positioned in addition to inflection points for a very strong future. I'll turn it back to Elaine for to start the Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Jamie Cook from Credit Suisse.
Jamie Cook: Hi, good morning and nice quarter. I guess just two questions, one, understanding you don't want to talk about 2022. But I'm trying to understand the setup for incrementals and to what degree if volumes are still there. Can we have above average sort of incrementals and how that discretionary cost sort of factor back in and impact incremental margins? And then I guess my second question, as regards to your longer-term margin targets, which you're on already starting to beat those targets. So, in particular if volume is not really showing up in your numbers, I'm just trying to think about how we position your margins longer term, potentially to be at a higher structural level? Thank you.
Tom Williams: Jamie. This is Tom. So I'll start with the incrementals. The one thing I would point out is our guidance for Q4 is incrementals of about 30% and if you were to do like for like take out the discretionary savings, we had in Q4 prior periods, maybe about a 50% incremental. So would be at the incrementals that we feel based on the cost structure and all the things we've done with when 2.0 when 3.0 that we would generate at this point in the cycle. So that's - we would continue to do 30%, I think as we go into 22, obviously we're not guiding to that yet. So I think just a good round number to use for us, but I'll highlight Q4 because it is impacted by the prior period discretionary which we don't have now are not as much, and that difference is pretty significantly go from the 30 to plus 50 incremental. So, it speaks to the underlying power of the business is there. And then on your question on long-term margin targets; yes, this is a good problem that we have that we basically beat our targets by about two years, our guide of 20.0 needed to midpoint on op margin is within spitting distance of the '21 and then our EBITDA but we don't guide on EBITDA margins will be at the 21% for the full year on EBITDA, so we're actively working on what this new set of targets will be and I'm sure this is a question everybody had, so we are going to disclose at IR Day, which will be March of next year and we think that's the appropriate form to do that, the rest assured, we're working on it and we're not going to settle or be happy was stopping where we're going to continue to march forward and we'll give you that vision when we have Investor Day.
Jamie Cook: Okay. Congrats. Thank you.
Tom Williams: Thanks, Jamie.
Operator: And your next question comes from the line of Andrew Obin from Bank of America.
Tom Williams: Hi, Andrew.
Andrew Obin: Yeah, I guess I'll follow Jamie, I'll ask one question. But it will have two parts, it seems you guys are getting ready for some of the best growth you've seen in a long, long time. And, the two-part question that I have for you is how do you think about your supply chain and manufacturing footprint to meet demand and meet growth over the next three, four or five years in North America? So that's part one. And part two, for the past decade, at least we didn't really have a lot of growth in North America structurally and in terms of your distribution channel, do you need - what do you need to do to optimize your distributors for this new growth environment? Do they need to be better capitalized? there has been some consolidation, do you need to continue or consolidating your dealers? So, part one manufacturing getting ready for this multi-year upturn and part two, what do you need to do on the distribution side? Thank you.
Tom Williams: Okay. This is Tom, I'll start maybe Lee can pile on with the manufacturing structure of the company. But we feel that we're well positioned to take advantage of this growth in one of our strengths historically is when there is a spike in demand our supply chain and the fact that we make-buy-sell local for local and our manufacturing footprint which is diversified around the world. Typically been more responsive than our competitors. And then what we've done with 3.0 and adding Kaizen, and so I stated with my opening comments when you links safety performance, Lean Kaizen in the high performance teams the structure how we run the various cells of value streams, you've got a very powerful combination as we do Kaizen we keep finding ways to free up capacity pre-up floor space, free up capacity in our equipment, we're able to do - what we call more simple automation category, which is uses the only free thing in life, which is gravity and if you saw these are gravity induced material handling things in some automation in the factories, has allowed us to be responsive to this demand. So, I think we're well positioned. Obviously, we're going to have to continue to invest, which we will we just found ways to do it more efficiently and Kaizen has been kind of great liberator for us to be able to do that. On the channel, the channel has been to your point, has been consolidating over the last number of years. I think it's better position than it's ever been to respond, we did see nice growth in distribution sequentially and our distributors are investing and some inventory for the future. And I think will be positioned to respond absolutely take share through them as well as through our OEMs going direct and we've got a great distribution team, our partners are strong, we've got a great distribution sales force, have been investing and application engineers and they're relying on us to be better on supply chain. And word [ph] we could continue to do better, but we have made quite a bit is on that. So I think both of those will be well our position to take advantage of this upturn.
Andrew Obin: Thank you, Tom.
Tom Williams: Thanks, Andrew.
Operator: And your next question comes from Scott Davis from Melius Research.
Scott Davis: Hi, good morning everybody. Thanks for including me. Kind of fascinated by Slide nine. I know you've shown it before, but I don't think you guys have disclosed kind of the opportunity, difference between the electric vehicle and potential content versus ICE. Is there any way that you can quantify the opportunity for us?
Tom Williams: Hello Scott. This is Tom. So, for competitive reasons and for sensitivities with customers, I won't get into the dollar content, which is why you heard me describe it in terms of just size versus ICE, a Ten-X build material. Our build material board is primarily almost exclusively all engineered materials. So, but then when you go down that list on the right-hand side of Slide nine. These are all engineered materials and this would be a combination of a pretty strong portfolio that we had before we did Lord but then Board added quite a bit to that. And really the combination we've got there is really given us a very attractive offering for customers and the debate is how fast it's going to grow and what percentage of total fleet will take over. But for us every time there's a new EV, it's an upside opportunity recognized as I mentioned as more growing 11% in the quarter towards the third Aerospace, so large Aerospace business is doing a little better than legacy Parker's because they have a pretty big exposure, but it's feeling pressure just like legacy is and for LORD as a whole to show a plus 11% to shows you the growth you got on the EV in EHV side.
Scott Davis: Okay, fair enough. And what - just again, looking at Slide 13 and the discretionary cost versus that permanent, how do you think about this going forward, and kind of passed the middle of the year - will expenses kind of go back to pre-COVID levels, is that something that you guys are starting to model in or is there some sort of an improvement to discretionary that's even that almost becomes permanent, if you will like people will travel a little bit less or there's you find that you don't need to send 30 people do a trade show you can send 20. I mean, or is that in the numbers already and open any question, I guess, Tom?
Tom Williams: Scott, this is Tom, I'll take that question. You're right on all accounts there, when we talked about this last year because the decline in volume came so quickly, we bought a number of levers on discretionary expenses. A lot of this was in response to the volume declines. Right. And we talked about our permanent actions in that eventually our permanent actions would right size the business we feel like we're there now, but we have found a new way to do business. Right. 'I don't think we will go back to the way we did things, travel, trade shows, those are all great examples. But there will be some right we're stopped - still trying to figure out what that is, but it will not be like it was before. So that will be essentially a change that will be structural going forward.
Scott Davis: Okay, perfect. Good luck, and congrats guys. Thank you.
Tom Williams: Thanks, Scott.
Operator: And you have a question from Joel Tiss from BMO.
Joel Tiss: I'm glad you started off with the safety talk. Tom, I've got my mask and my safety glasses on and I get all my shots and everything I'm ready for it.
Tom Williams: Probably Joel, stay safe Joel, stay safe.
Joel Tiss: Can you talk a little bit about the inventories in the channel and in Aerospace and just sort of maybe more generically how the industry is setting up for '22 and '23 like what are you hearing from your customers and your distributors and things like that?
Todd Leombruno: Joel, this is Todd. So on distribution, we saw really nice improvement versus Q2 so distribution came in at plus two overall for the quarter versus a minus 6 in the prior period. So when 800 basis point improvement in distribution. We saw really good growth in Asia Pacific and Latin America, and that 15% to 20% range. EMEA was flat in North America, just slightly negative low-single digits. But, pretty much across all our distributors, we saw a combination of actual activity driving demand and then investing in inventory coming front. So I think the channel has turned from you know last quarter I talked about selective restocking, I think it's pretty much across the board, people planning for the future is an aerospace, we still need time, I think we're bouncing along the bottom there and we've sized the company to put operating margins in more now. We have the advantage of being very diversified in our segments between engines military, commercial helicopters, et cetera going down the line that's helped us quite a bit. We're about 50 50 on military and OE, so we're well positioned, but quite a question mark there is just what the trajectory be and how long do we bounce along the bottom, clearly, I think the military side will continue to be strong for us. It was strong this quarter and will continue to be strong going forward both we. And over on the right programs there. And then commercial side, will be all based on that we will be based on line rates from the OEMs, the airframers. And then on the MRO side for commercial it's all about air traffic shop business you see positives with airlines hiring pilots back and departure rates are improving and that will speak well to shop as done growth.
Joel Tiss: All right. It's great. Thank you.
Todd Leombruno: Thanks, Joel.
Operator: And you have a question from Joe Ritchie from Goldman Sachs.
Tom Williams: Good morning, Joe.
Joe Ritchie: Hi, thanks. Hey, good morning guys. So I'll ask a multi-part one question. But really around free cash flow because that's been a great story for you guys as well. And so as we think about next year and the inflection that you're going to see in growth, how do we think about you having to build working capital within your own distribution and the impact that that could have on 2022 free cash flow margins. And then beyond that, like longer term, what's kind of like the right entitlement if margins are going to be going up longer term, what can free cash flow margin for quite long term for the company.
Todd Leombruno: Hey, Joe. This is Todd. I'll take that question and thanks for noting our superb free cash flow. We are really proud about that. As you know, we don't guide on free cash flow. We're really happy with our results. There has been a step change. If you look back over time. I kind of alluded to that and in the slides there. It's really driven by our increased margin performance, but not only that I mentioned, our working capital. Our team really have put intense focus on this. And that's one of the areas that, that we really have improved with these recent acquisitions kind of bringing them into Parker type terms and Parker type policies. So we're not done with that. We still have room to go on that on every single one of those metrics. So we do see that improving. Will there be some pressure as growth comes, absolutely, but it will not adversely affect those numbers, we see a positive future for cash flow.
Joe Ritchie: Got it. Okay, thank you very much.
Operator: And we have a question from Nathan Jones from Stifel.
Nathan Jones: Good morning everyone.
Todd Leombruno: Good morning.
Nathan Jones: I'd like to follow up on the aerospace side. Tom specifically on commercial aerospace and even more specifically on the aftermarket side, that's where you guys are going to see the pickup on the commercial side, but have you seen sequentially that get any better as we're really seeing the front end of air traffic start to pick up and if not, what's the typical kind of lag you see from when that recovery in air traffic starts to when you actually see the recovery of your aftermarket orders?
Todd Leombruno: Yeah, Nathan, it's Todd. So sequentially and sales for commercial MRO. We saw a 13% improvement call from Q2 to Q3 and the lag is sometimes hard to predict, but the sequence of the increase in available seat-kilometers increase in departure rates drive shop visits to go up at some period of time after that, and that's always the hard part is depends on what the routes are in the cycles and particular engine, etcetera, but those will start to improve and they want to shop visits go up then. Our flow-through in the commercial MRO is going to happen. So I can't give you an exact lag because - but I would probably be wrong, but clearly. These are all positive signs being hired departure rates going up available seat-kilometers starting to at least stabilize and start to improve those will all speak the shop as it's going up and will drive higher content of MRO for us.
Nathan Jones: Okay. And then on use of cash here, I think you guys had said once we get to about mid this year mid calendar year, you're going to be out of debt to pay off and obviously producing a lot of cash flow, can you talk about your approach to the M&A market now when we might expect to see you back into it and what the maturity of the pipeline looks like right now.
Todd Leombruno: This is Todd again. So you're right, our serviceable debt will be paid off this quarter. So we'll enter FY '22 with no serviceable debt in our next payment corporate partner due to September calendar 22. So we have opportunities and wherever always described in the lessons learned from the financial crisis is to continuously work to financial pipeline. The myself just did reviews we do this all the time does it a monthly was presence and so this is something we stay on top of build those relationships. So the pipeline is active, but it's always a matter of finding a willing seller willing buyer. So it's activity necessarily always translate into actual properties in. But we're looking and certainly we're going to continue to buy companies with the same kinds of themes that you've seen before that either are immediately accretive or accretive within our synergy time period, they can help the growth rates of the company. Help margins, help cash flow and you'll continue to see it still consolidator choice. I think we're are still the best home this motion control properties, but we'll also look at the other areas that you've seen us build on in the last several years. And hopefully by now people feel good about our track record we've with the last three, got a lot of fanfare we've been good at this for a long-term, 80 deals last 20 years. And I think you'll see us to continue to be had upon that. First and foremost, for us dividend. We were very excited to clip that dollar mark on a quarterly basis and it and you'll see us stay on top of that. Our net income is going to grow and we're going to stay on top of those dividends to match that. That's income growth will continue to invest in the company organically in productivity and if we don't find the right properties which our preference would be to do deals because it drives cash and EBITDA growth. We think we're create investment and we'll buy shares on a discretionary basis top of 10b51. The pipeline is active and more to come on that.
Nathan Jones: Great, thanks for taking my questions.
Operator: And you have a question from Julian Mitchell from Barclays.
Tom Williams: Hello Julian.
Julian Mitchell: Maybe first question around the sort of linked topics of cost inflation and component shortages and the sort of unifying factor of tight supply chains. I mean, I guess two parts, one is, do you think there is much evidence of sort of excess stocking up or accelerated stocking up by your customers or channel partners, given all the headlines around supply chain shortages. And then secondly, when you look at Parker itself. How comfortable do you feel on that pricing outlook to offset cost inflation pressures?
Lee Banks: Julien, it's Lee. I was wait for somebody asked the question very material costs and pricing. I'm looking at a commodity chart right now, which has got trends year-over-year, quarter-over-quarter going back the last big inflation period. It's a sea of red, but the thing I would say about our team as we saw this coming early on as we did this. And as you know we've got really two great internal processes inside the company. It's how we track our PPI which our input cost and how we track our selling price index to make sure that we always maintain this margin neutral of kind of role. So, we've been active with price through the distribution channel and we'll continue to do that. We're fortunate to have great contracts in place with many OEMs that have raw material cost escalators in them. But, our goal on the whole pricing side is to be margin neutral. We've done that before; we'll continue to do that. On the supply chain side. I would say just echo what Tom said earlier, the biggest benefit is our business model. So we designed source make sell in the region for the region everything you read about in the paper. We're not immune to that. I mean there's still things that happen day-to-day basis, but I would just tell you from a company standpoint, it's not material. I mean we manage it day in and day out. So on pricing. I think we are active in a good place on the supply chain side, we're managing it the models set up. So I don't think we'll get hurt. And it's really not going to be a material.
Julian Mitchell: Thank you. And then, how about on your own sort of customers or channel partners. Do you see them kind of across the board doing any kind of accelerated stocking up because of the supply chain issues being so well publicized or do you think that the activity is kind of normal for what one would expect, as you see a macro inflection positive?
Lee Banks: Listen, everybody is very, very busy right now, I would say, supply chain issues aside North America labor is very tight. I mean you read about that is a fact. So a lot of our customers are doing what we're doing. Just really using Kaizen automation where appropriate, et cetera. But I don't look, every time there's a ramp is a little bit of a bull with effect, but this is no different than anything I've seen in the past. It's just people trying to manage the increase in demand.
Julian Mitchell: Great, thank you.
Todd Leombruno: Thank you. Thanks. Julien.
Operator: And you have a question from John Inch from Gordon Haskett.
John Inch: Thank you. Good morning, everyone. Hey, maybe to pick up on some of the themes here, what are you seeing in terms of competitive behavior, particularly given the inflationary backdrop how our competitors jockeying jostling and how is that may be modifying your own behavior in this period of post-pandemic or emerging from post pandemic?
Lee Banks: I think really the narrative right now. John is around supply. I think everybody's we're structured much differently than many of our competitors, so the issues that you read about every day, maybe you're not as imperative to us. But I think the narrative right now is around supply people were looking for continuity of supply, they can get it everybody understands. What's happening with commodity prices. So I don't really see any negative customer actions taking place. I will tell you is, and we've talked about this for years. This is always an inflection point for us where we tend to do better than the market as we come out of this. It's a combination of two things. We've done a lot of work with OE customers on design during the downturn as we're looking to simplify their designs take cost out. We do that through our application centers, we see the benefit of that as we ramp up. And then second, are our internal distribution systems are really poised to take advantage of disruptions with competitors.
John Inch: Well, I was wondering you know like as prices go up and everybody is trying to raise in various aspects of their operations. Our competitor is one of the ways a competitor might instigated price tough to position themselves by not raising commensurately say compared with other people or other companies are players are we seeing any that kind of that behavior. Is it still a little bit too soon to tell?
Lee Banks: I haven't seen that kind of behavior and I typically really don't see that for this kind of the cycle. You see more of that you see more of that John when you're at the bottom of the cycle and people trying to fill up factories.
John Inch: Yeah, that makes sense. And then, Tom, you know simplified design as it becomes more ingrained as what's call it an operating, competitive advantage for Parker, do you think it to be used to perhaps offensively target companies for M&A picking up on the M&A theme. I was thinking you could maybe provide a bit of an arbitrage opportunity for safe partner to be able to go in and maybe even bid more you can drive more synergies and other bidders that going to have simplified design as part of their arsenal.
Tom Williams: Hey, John. so clearly simple. And I would just say, everything that's in win 3.0 is part of our basket of goods that go into evaluating an acquisition. So we look at what the best practices are for the acquisition. This practice that we bring that combination of one plus one equals three generates the synergy plan. And that's the figure, the synergies which you're alluding to, was some of by design the opportunity you have to pay and we really look for is what's the synergized EBITDA multiple we're done. And is that something that makes sense given that where we're trading, the other part aside from acquisitions to get at believe was talking about was competitive dynamics simplify design is an opportunity for share gain as we come up with products that are similar to make that easier supply chains, more reliable et cetera. And maybe in some areas where we weren't don't currently have share allows us to penetrate in account overall got at 11%, 12% market share of this $35 billion space. We've got lots of room to grow so just one of many share gain opportunities.
John Inch: Yeah, makes sense. Great, thank you, Raj.
Tom Williams: Thanks, John.
Operator: And you have a question from Jeff Sprague from Vertical Research.
Lee Banks: Morning, Jeff.
Jeffrey Sprague: Hey, good morning. Thanks everyone. Hey, I guess two from me just thinking about this idea time of trying to break the gravitational pull of the PMI actually two questions, one just kind of maybe fundamental in the business and maybe a second kind of philosophical first obviously the PMI is a broad industrial benchmark. Have you considered that calling your segments Diversified Industrial just suggest UR in Industrial proxy perhaps some kind of different earnings presentation would make sense you give us global technology platforms, but we don't know anything about the profitability of those sub-segments? So that's more of a philosophical question. I wonder if you've thought about that. And then secondly, although most of your business is short cycle, right. I would argue, it's really a broad mix of early mid and late, and I think to some degree people confuse short with early, I just wonder if you could kind of give us some rough buckets, what percent of your business, you would actually characterize this early cycle versus mid cycle versus late cycle?
Tom Williams: Okay. Jeff, it's Tom. So those are - it's a good question, hard one. First of all, the whole PMI gravitational pull that's one of the reasons, besides, I think it's just a great way to describe the company to what we did. Slide five. And that's, Steve, for those users now looking at your slides. That's the whole PMI versus our EPS trend and I hope you people got the point. This company is dramatically and have underlying dramatically different. And yes, we will never be completely detached from PMIs because obviously that represents total manufacturing activity and we will benefit from that, but we didn't get much help in that over the last six years, and you've seen us double EPS and as 600 basis points to EBITDA margins, so we will continue that and hopefully people recognize that we don't need the macros to help us. We have enough self-help with 2.0 3.0 to keep last for many, many years. The current environment is going to get better. So we are going to get some of the - your comment philosophically on reporting segments. Yes, that's been a raging internal debate for many, many years, there is pros and cons to it probably longer discussion than they can do on an earnings call, but we continue to think that represent the way we do today is the best way, because if you go back to those eight technologies and the fact that two-thirds of our revenue comes from customers at Viper technologies. That's exactly how we go to market. We don't go to market, specifically one off technologies, all the time we go to market if you look at our commercial teams leveraging that press technology, so that's how we're presenting the company to shareholders is exactly how we go to Mark Neville early versus mid versus late, I'm not even going to try to do that other than I'm going to reinforce your point, yes, we are a mixture and obviously you can look at Aerospace and characterize that as long, but where do you want to put EV you mean EV we're feeling that now, but the, a long-term change. It's going to happen, where do you want to put all the green technologies, I could add up all the things I've talked about and that one slide related to clean technology and you get a pretty significant percentage of the company. Obviously, hydrogens long very long cycle, what's happening there. Notifications still more near-term. So I think unfairly we've been characterized as early and maybe because I've just historically we pleased to report orders on a monthly basis and people could see those things sooner. I think we're a good mix and I think, hopefully over the last six years people recognize we're good where you want to invest money better on this team.
Jeffrey Sprague: Great, thanks for that perspective.
Tom Williams: Thanks, Jeff.
Operator: And you have a question from David Raso from Evercore ISI.
Tom Williams: Good morning, David.
David Raso: Curious, it seemed like the January price increases you put through were relatively modest, I think kind of where we were in the cost escalation moment if it made sense. But as the quarter has gone on and we look out to fiscal '22 I'm word [ph] connector group put out an increase, but you don't usually do a lot of increases for July 1, the setup here feels though more accommodative to you putting price increases through. So, two questions. Is it fair to say we should see a lot more mid-year price increases and we've seen in the past? And, second is the lead time issue significant enough where distributors who would normally want to get ahead of that increase are not able to, given the lead times I'm trying to get a sense of how much of the price increase, we could think about for '22 and sales, that kind of capture it versus maybe a little bit of a natural pre-buy that you see some times when you announce an increase?
Lee Banks: Yes, David. It's Lee. I'll take that question. So I think it's fair to say you achieve mid-year price increases going after the distribution channels, not only in North America but globally, given where we are with input costs, et cetera. And I would say, by and large are probably pretty correct lead times that a lot of pre-buying while there are some, it's not, we would expect if the level of activity wasn't so strong as it is right now.
David Raso: All right, terrific. Thank you very much.
Tom Williams: Thanks, David. I know everyone's got a pretty packed schedule today. So Eline, we'll take one more question before we wrap up.
Operator: Okay. The last question comes from Joshua Pokrzywinski from Morgan Stanley.
Tom Williams: Hello, Josh. How are you? We may have lost Josh. You go to the next one.
Operator: We'll go to the next from the line of Nigel Coe of Wolfe Research.
Nigel Coe: Thanks. I'm guessing Josh is speechless by the results. Thanks for fitting me in here. So look, I think that, I think, it is very good point on the early cycle points. The fact that you are still negative in two or three segments. I think it's sort of proof that you're not Category cycle. So I think that's an important point. I did want to go back to your comments about incremental margins between '22 and I know that that wasn't guidance, but if you could do 3% incremental margins with the temporary costs coming back and perhaps obviously inflation pretty rampant in the back half of the calendar year. I guess I'm going to ask is, do you think that there is a line of sight based on weighted today to hitting out there. It's an incremental margin for FY '22?
Tom Williams: Hai Nigel, it's Tom. So you're right. We will or not a guidance discussion with '22, '22 is hard enough to do and we do it in August. But I think philosophically, our goal and what is best in class is to do a 30% a little. And, I think the evidence that we're going to do about 30% in Q4 even with the tough comps that we have with high, discretionary cost us that we did in Q4 a prior period are evidence that we can do that going into '22. We'll see when we pull the numbers together because it's Q4 is probably one of our tougher comparisons and it will in Q1 probably another tough comparison, but it will get progressively easier as we go through '22 comparisons, but I think a 30% is still on our radar. And, Q4 is good evidence that we can do it in Q4, we can do going forward.
Nigel Coe: And then that - the question then, if you can do it in an environment like this, presumably FY '22 a mix isn't there'll be that helpful. I don't think in FY '22 but once Aerospace are kicking back into gear do you think 35% maybe plus could be a good run rate beyond FY '22?
Tom Williams: I missed the word, what was before FY '22 there.
Nigel Coe: I mean do you think that balance 30% could be a good number to use beyond FY '22?
Tom Williams: Yeah, over the business cycle. What we've always told people is if you're modeling us over multi-years used 30% now, clearly and inflections we've done better than that. Down 40% to 50% range, but this isn't we're an inflection now is a little bit masked because the prior period the huge discussion why I gave a number, if you took that out of these 50. So typically go ahead pretty high up at the beginning 30% over the cycle, 10% later in the cycle. You're down into the '20s. But if you're modeling multi here I would use 30%.
Nigel Coe: Okay, that's great, thanks.
Tom Williams: Thanks, Nigel. All right. That concludes our call today. I'd just like to thank everyone for joining us. As always, we appreciate your interest in Parker. Robin and Jeff will be here all day, if you have further questions or if you need clarification. I hope everyone has a great afternoon, and stay safe everyone.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for participating. You may now disconnect.